Operator: Good day and welcome to the Jacobs first quarter fiscal year 2016 earnings call. All participants will be in listen-only mode. Please note, this event is being recorded. I would now like to turn the conference over to Kevin Berryman, Executive Vice President and CFO. Please go ahead.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Good morning and afternoon to all and thank you, Austin, for the introduction. We welcome everyone to Jacobs' 2016 first quarter earnings call. I will be joined on the call today by Steve Demetriou, our President and CEO. As you know, our earnings announcement and Form 10-Q were released this morning, and we'll be posting a copy of the slide presentation to our website, which we will reference in our prepared remarks. Before starting, I would like to refer you to our forward-looking statement, which is summarized on slide two. Any statements that we made today that are not based on historical fact are forward-looking statements. Although such statements are based on our current estimates and expectations and currently available competitive, financial, and economic data, forward-looking statements are inherently uncertain. And you should not place undue reliance on such statements as actual results may differ materially. There are variety of risks, uncertainties, and other factors that could cause Jacobs' actual results to differ materially from what may be contained, extracted, or implied by our forward-looking statements. For a description of some of the risks, uncertainties, and other factors that may occur that could cause actual results to differ from our forward-looking statements, see our most recent earnings release and quarterly report on Form 10-Q as well as our Annual Report on Form 10-K for the period ended October 2, 2015, including: Item 1A, Risk Factors; Item 3, Legal Proceedings; and Item 7, Management's Discussion and Analysis of Financial Condition and Results of Operations; as well as our other filings with Securities and Exchange Commission. We undertake no obligation to update any forward-looking statements. So let's get into the call officially. Let's turn to slide three for a quick review of the agenda for today's call. Steve will begin with a highlight of our first quarter, followed by an update on the business and recent key initiatives. He will also provide some commentary on end market conditions for our four lines of business as well as highlights of recent high-profile project awards. I'll then provide a more in depth discussion on our financial metrics, including our backlog and current restructuring efforts. I will continue with some comments on our revenue to operating profit split and some comments on capital allocation. Steve will then finish by highlighting certain initiatives we are undertaking in our project delivery and sales centers of excellence, and we will then conclude with some closing comments. Finally, we'll open it up for some questions. With that, let me pass it over to Steve Demetriou, our President and CEO. Steve?
Steven J. Demetriou - Chairman & Chief Executive Officer: Thank you, Kevin. Welcome to our fiscal year 2016 first quarter earnings call. On slide four, before I summarize the numbers, I want to mention how I continue to be impressed with our Jacobs Beyond Zero commitment. I'm extremely pleased that our first quarter safety performance continued to trend positively. Not only is this important from a standpoint of culture of caring for our employees, but it's equally appreciated by our customers, who similarly prioritize safety excellence. So now on to our first quarter business performance; and as we previously projected in last quarter's earnings call, we faced a challenging global economic environment at the start of our fiscal year. Adverse market conditions, particularly in oil and mining, continue to have a significant impact on our businesses. However, demonstrating the strength of our diverse portfolio, growth markets such as Aerospace & Technology and PharmaBio helped us mitigate some of the pressures from our more challenged sectors. Our revenue for the quarter was $2.85 billion, and our backlog at quarter end as down 3% versus last quarter at $18.2 billion, what I consider to be a solid performance within the context of current market conditions. I'm very pleased with how the global Jacobs organization has proactively responded to the challenging global market conditions in terms of right-sizing our cost structure and focusing on project delivery excellence. The previously announced companywide restructuring initiative helped reduce first quarter G&A costs by 13% versus last year, and project execution performance trended in the right direction. As a result, our adjusted earnings per share was $0.78, including an approximate $0.09 per share discrete tax benefit, in line with expectations. Our balance sheet remains strong and should further strengthen as our heightened focus on working capital starts to take hold over the next several quarters. Turning to slide five, I'd like to comment on several of our key improvement initiatives. In the first quarter, we continued to successfully implement both the cost restructuring and organizational realignment that were launched last fiscal year. With regard to the restructuring, we continue to identify additional cost reductions and believe we have opportunities to further streamline and achieve more efficiencies as we progress through this year. As it relates to the new line of business organization, I'm very pleased with the quality and speed of implementation by the Jacobs leadership team and the excitement and buy-in of all our employees across the globe. We've been progressing on a number of companywide priorities, including strengthening of leadership accountability, improving project delivery, and launching a strategic review of Jacobs. However, most importantly, a top priority is getting back to winning business and growing the company. With regard to the strategy efforts, we're conducting an economic review of our entire portfolio. While this will feed into the next phase of the strategic plan development, we will immediately utilize the facts and insight to set near-term profit improvement goals for the company and each line of business. The strategic plan initiative we ultimately develop will be focused on how to profitably grow Jacobs. We will present this at an Analyst Day in the fourth quarter. And before turning to the next slide, I'd like to mention that beginning with next quarter's results, we'll report our segments consistent and aligned with our new lines of business. During our Investor Day last quarter, we presented backlog for the new structure on a preliminary basis. As we implement the companywide realignment across more than 60,000 employees in more than 30 countries, we're updating our financial systems to align with the new lines of business. With that, I'll now turn to slide six and provide a more in-depth discussion on each of our four business lines. I'll begin with our Petroleum & Chemicals business. Backlog for the group currently stands at $6.2 billion, which is marginally lower than last quarter, due mainly to the severe downturn on the upstream petroleum side of the business. As you all know, this line of business continues to face very challenging global market conditions. The significant decline in oil prices has had a major impact on many of our customers' cash flows and capital spend, especially on the upstream side of the oil and gas market. For example, our recent Wood Mackenzie report indicated that nearly $400 billion in global spend on new oil and gas projects has been shelved since the crude price collapse. In addition, the amount of deferred capital in this industry has increased from $200 billion to $380 billion since June. Two years ago, very few would have imagined $30 crude oil today, and there's a lot of uncertainty in the oil and gas markets. With crude inventories at record highs, the Iranian sanctions removed, the supply/demand imbalance is widening, and we are preparing for the overhang to continue. We've been able to partially mitigate these severe headwinds as a result of our industry-leading position in the resilient Middle East market as well as a strong focus on sustaining capital and maintenance across the oil and gas sector. The Refining segment remains solid for Jacobs. The U.S. market is being supported by exports, and lower fuel costs are encouraging demand. New emissions rules in the U.S. are increasing investment in alkylation capacity, which is an area of strength for Jacobs. Refining demand in developing countries is also expected to increase more than 3%. And our Europe projects are continuing to be driven by regulatory, environmental, and process safety opportunities. We're also seeing our clients diversify into value-added specialty products while also focusing on energy efficiency and yield improvement of existing assets. However, most of the major integrated petrochemical companies have announced staffing and budget cuts, impacting our demand with these clients. All in all, we remain steady in the petrochemical sector. And in this Petroleum & Chemicals business line, I'm very pleased with some of the major recent wins, including a very significant EPCM global partnership agreement with BASF, an EPCM service contract with Nippon Shokubai for a superabsorbent polymer plant in Belgium, and an EPCM services agreement for one of the world's largest oil companies. So now turning to slide seven, and before discussing our Industrial business, I'd like to recap this week's announcements regarding a change on our leadership team. I have asked Andy Kremer, President of our Industrial Group, to move into a new executive advisor role to provide leadership on several priority initiatives, continuing to report to me. Robert Pragada, who was previously an executive at Jacobs and more recently CEO of The Brock Group, a leading specialty trade contractor, started this week as the new President of our Industrial line of business. To capitalize on Bob's strong experience in construction, he'll also lead our field services units in North America and the UK. I'm excited to welcome Bob back to Jacobs. While at Jacobs from 2006 to 2014, Bob was highly respected by our employees and customers as a strong leader with an impressive track record in sales and operations. Our Industrial group's backlog is at $2.4 billion, down slightly from last quarter. The Industrial line of business includes life sciences, specialty chemicals and manufacturing, and mining and minerals. I do want to mention the backlog presented does not yet include the incremental field services that Bob Pragada will be responsible for and will shift over to his business line when we report results next quarter. Personally, our life sciences group is delivering exciting growth, as evidenced by major project awards throughout the past year from Biogen, Bristol-Myers Squibb, and Genzyme. As a leading EPCM in commissioning, qualification, and validation project delivery firm in BioPharma, we are well positioned to profitably grow in this sector. Our footprint, resource base, and technical expertise span multiple geographies, including the high-growth Europe and Asia regions. Our objective is to remain the employer and supplier of choice, expand our industry-leading service offerings, and to continue to support our clients' investments into exciting new products. Meanwhile, we're seeing steady demand in specialty chemicals and manufacturing, with signs of improvement in several areas. This business unit includes pulp and paper, consumer products, and inorganic chemicals. Domestic demand for pulp and paper remains flat, but we are expanding internationally. Consumer goods is a relatively untapped opportunity for Jacobs. We're building key client alliances to selectively grow in this market. We're also seeing improving market conditions for our Comprimo Sulfur business that's being driven by recent environmental legislation in several countries. The fertilizer market continues to attract investment, driving new opportunities for our chemetics and phosphate technology businesses. Our Mining & Minerals group continues to be impacted by weak commodity prices. Major spending has been severely curtailed in response to the weak metal price environment and current oversupply. The supply/demand imbalance will correct over time, but we're not planning for a recovery in 2016. We continue to partly mitigate this by increasing our focus on sustaining capital projects and maintenance. I'm also impressed with our team's performance, as we are winning more than our fair share of the few large metals mining projects in South America, Africa, and Asia-Pacific. Also a positive for Jacobs is the ongoing investment in fertilizer projects, particularly phosphate mines and related chemical plants, especially in Africa, North America, and the Middle East. In the Industrial business line, we were recently awarded an EPCM contract from Biogen for a new state-of-the-art facility in Switzerland. This came on the back of other major awards for our Life Sciences group. Noteworthy, we recently won a sustaining capital projects contract with Alcoa of Australia. So now turning to slide eight, our Buildings & Infrastructure backlog remained steady at $4.7 billion. This line of business for Jacobs is quite diverse and spans a variety of markets, including healthcare, education, aviation, water, rail, highways, and power. On the Buildings side, we continue to see growth in the U.S. and UK at the state and regional level. In education, K-through-12 projects in high growth cities are a particularly bright spot. The Affordable Care Act is also continuing to impact the U.S. healthcare industry, and higher use of clinic and outpatient telemedicine facilities is driving a step change in the market. We're on the forefront of this trend and are helping our clients adapt through the use of advanced planning and modular techniques. Mission-critical markets are also a positive and continue to grow and develop globally. In the commercial building industry, we're continuing to focus on several key customer relationships, where we are leveraging our oil and gas, chemical, and PharmaBio expertise to expand our offerings and cross-company synergies. One example of this is our ongoing involvement with one of our major integrated petroleum clients on several of their offices and building projects globally. Meanwhile, we're seeing positive global growth in our Infrastructure business, particularly in aviation, highways, and rail. Australian and Asian transportation sectors are noteworthy growth spots, driven by population growth and economic stimulus. Rail is certainly growing, and we're seeing a mixture of high-speed rail as well as passenger and Class 1 freight being developed in multiple regions. We are well positioned in the U.S. for upcoming ballot initiatives to expand light rail and continue to be the largest provider of rail design to Network Rail in the UK. We're also continuing to position our resources for global aviation opportunities, given that air traffic projections are forecast to grow over the next decade in most regions. An example of the positive change at Jacobs is our successful leveraging of capabilities from the U.S. to support ongoing work with the Brisbane airport expansion in Australia. With regard to some recent awards, in addition to the Network Rail win in the UK, our Buildings & Infrastructure group won a major U.S. military program that we hope to announce in the next few months. And we've been awarded a significant architectural engineering design project on an airport transportation program in Europe. Also, as recently announced, we acquired J.L. Patterson & Associates. J.L. Patterson brings additional consulting and professional services engineering capability in rail planning, environmental permitting, designing, and construction management. The acquisition enhances Jacobs' rail services capability on the West Coast and positions the company in the top tier of rail professional service providers in North America. So in summary, we believe our global Buildings & Infrastructure business has high potential growth opportunities, and we're well positioned to leverage our expertise in several exciting markets. Moving to slide nine, our Aerospace & Technology business is experiencing positive momentum. Backlog stands at $4.9 billion and excludes over $250 million in contracts that were awarded to us in the first quarter but not yet posted in our bookings due to elevated levels of protest. We're seeing positive dynamics associated with federal government funding in both the U.S. and the UK after recent budget agreements. This provides greater certainty and stability for the programs that we support. However, as I mentioned, in this market the procurement cycles are being extended and more awards protested. Related to this, our military range operations and maintenance strategic growth initiative is starting to pay dividends, as the investments we have made over the past couple years resulted in the award of multiple new contracts to Jacobs during December. While those awards have been protested, something that is fairly normal in today's U.S. federal contracting environment, we're confident of a favorable outcome. Meanwhile, our cyber-security, counterterrorism, and intelligence-related markets remain strong. Strategic investments such as our 2014 FNS [Federal Network Systems] acquisition are continuing to show benefits, and we're building strengths and capabilities to support additional growth in this market. We have a strong pipeline for advanced test and evaluation facilities with both the U.S. government and the commercial automotive industry. We're also seeing opportunities in the traditional environmental services sector. Of particular note is an emerging market driven by new regulations pertaining to the management of coal combustion residuals. This is expected to be a multibillion dollar per year market, and our differentiating experience with some of the major players positions us well. We're also experiencing positive trends in the nuclear sector associated with new builds, primarily in the UK, and continue to pursue selected growth opportunities in this sector. Recent key wins such as the 10-year facility support services contracts at NASA's Ames Research Center, an engineering services and skills augmentation contract option with NASA at Marshall Flight Center, and the EPCM spent nuclear handling project at the Idaho National Laboratory show the diversity of strength of this business. The Aerospace & Technology group has a good balance between discrete and long-term project work, and we expect to announce several additional wins that will bolster this group in the near future. I'll now pass it to Kevin to present more details on our financials.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Thanks, Steve. I'm now turning to slide 11, as you follow along. As we've previously highlighted in our last earnings call, we were projecting a tough first half of the year. As a result, on a GAAP basis, revenue was $2.85 billion, as Steve noted, which is down 11% from a year ago. On a constant currency basis, revenues were down 7%. Gross margin dollars were $441 million. Importantly and consistent with our expectations outlined in our last earnings call, our professional services gross margin percentage picked back up in the quarter to levels above the full-year gross margin percentage of last year. This improvement was somewhat mitigated by the mix impact associated with lower-margin field services being a greater percentage of our business in Q1. As noted by Steve, tough cost controls drove our G&A down by more than $48 million versus a year ago. This was down over 13% and speaks to the aggressive measures we have taken and will continue to take to reduce costs in light of the current economic environment. As a result, adjusted operating profit was in line with our expectations at $128 million for the quarter. While our adjusted EPS of $0.78 was up 1% versus a year ago, it is important to note that the figure does include a discrete tax benefit of $0.09 in the quarter. To the positive, excluding the impact of foreign exchange movements versus last year, adjusted EPS would have increased to $0.80, up 4% versus the year-ago period. Our backlog stands at $18.2 billion and our book-to-bill on a trailing 12-month basis was 0.92. I will provide a little bit more color on these figures in a minute. Finally, operating working capital was $886 million. Cash was at $444 million, and net debt was at $181 million. Our balance sheet as a result continues to remain strong, while repurchasing approximately 1 million shares during the quarter, in line with our expected execution of our recently announced three-year share buyback program. So moving to slide 12, let me provide some further color on our backlog. Again, backlog currently stands at a combined $18.2 billion. This is down slightly from our last earnings call and 5% from our record high of $19.1 billion a year ago. The decrease from a year ago was driven by a combination of work-offs on existing projects, a softer sales quarter this year versus the near record quarter a year ago, and a significant negative foreign exchange impact versus the year-ago period of almost $500 million. From last quarter alone, the foreign exchange impact was over $100 million. Excluding the impact of the foreign exchange movements versus last quarter and versus year ago, our backlog was down less than 3% from last quarter and only 2% from our record high in Q1 a year ago. With regard to our professional engineering services backlog, this now stands at $11.4 billion, a slight reduction of 2% from last quarter. And of course, some of that was due to our foreign exchange dynamic. Our field services backlog was down by 4% versus last quarter, but it is in fact up significantly from a year ago. Our backlog at the end of the quarter again exemplifies the benefits of our diversity, where certain of our lines of business that target customers in stronger end markets has held steady and helped mitigate some of the pressures from reduced CapEx spending by oil and gas and mining customers. So let me turn to slide 13, where I would like to give you an update on the restructuring effort that was announced last year in July. As previously communicated, the focus of our restructuring has been to simplify Jacobs globally and to enhance our cost effectiveness. We believe our efforts will ultimately provide Jacobs with the ability to deliver satisfactory profit levels regardless of the economic environment in which we are operating. While many of the original restructuring efforts are in various stages of implementation, a recently announced reorganization is now supporting identification of additional savings opportunities, as we evaluate actions that could benefit the business longer term. Our efforts continue to be focused on our fixed cost infrastructure, primarily in labor and real estate. Given the incremental opportunities identified as part of the reorganization, we are now forecasting the total one-time cost of our restructuring effort that was initiated in 2015 to approach $250 million, with annualized savings between $180 million and $200 million. This compares actually to our original savings estimate of year ago when we announced the program of $130 million to $160 million in annualized savings. Importantly, the cash portion of our costs and savings noted above approximate 55% and 85% respectively, resulting in a cash payback of the program of less than one year. So turning to slide 14, we showed this at our Investor Day last quarter. You will see our preliminary revenue and operating profit mix for the quarter. As you know, we are one of the most diversified E&C companies in the world. Our revenue and profit mix continues to evolve, indicating the strength of that diversity. For Q1, you will note that the Petroleum & Chemicals line of business represented the largest percentage of our total revenues. However, our Buildings & Infrastructure and Aerospace & Technology businesses combined represent more than 50% of the total overall profitability of the company. Importantly, these businesses are not impacted by the current headwinds seen in our oil and gas and mining and minerals end markets. Of course, some of the differences on profitability across our lines of business and specifically for our Petroleum & Chemicals business is that some house a larger portion of our field services work. As you know, field service tends to have lower margin levels given its higher percentage of pass-through revenues. I want to note that these pie charts represent estimates at this point in time, and our new segment reporting will become effective at our Q2 reporting period, given that we are now beginning to manage the business consistent with our new organizational structure. As a result, our final reported information will somewhat change given the finalization of our segments and segment reporting, including the determination of field services within each line of business. Regardless, the power of our diversified portfolio is proving advantageous. While we see certain of our businesses facing incremental pressures, particularly from reduced CapEx in the oil and gas and mining sectors, other parts of the portfolio are expected to help mitigate some of those pressures, providing greater levels of stability and/or growing sales and profits. So before handing it back over to Steve, I also wanted to provide an update on capital allocation on slide 15. As highlighted last quarter, we spent $422 million in share buybacks during fiscal year 2015 and fully utilized the 2014 share buyback authorization of $500 million. During Q4 of 2015, we announced a new $500 million share buyback authorization with a term of three years. During Q1, we began executing against that program in a measured approach, consistent with our guidance. We remain confident in our ability to generate sustainable long-term cash flow, and we continue to believe our share buyback program is an appropriate use of cash, given the company's long-term value creation outlook. Our strong cash flow dynamics supports our ability to return capital to our shareholders while still providing flexibility to support our growth aspirations longer term. Finally, as evidenced by working capital and accounts receivable performance improvement targets now being part of our annual incentive program, we also believe we can improve our cash flow this year and longer term, which will further support our flexibility going forward. So with that, let me hand it back over to Steve for some additional comments.
Steven J. Demetriou - Chairman & Chief Executive Officer: All right. Thank you, Kevin. Moving to slide 17, as part of our reorganization, we established a global sales center of excellence. This is a critical step that enables us to transition from the previously centralized sales approach to a simplified organization and better integrates overall business accountability within each line of business, with the ultimate objective of driving sales to a much higher level of performance. Key near-term objectives by the sales center of excellence include: ensuring that we attract, retain, and develop the highest caliber sales team for sustained competitive advantage; and also to drive increasing sales effectiveness, with a focus on innovation and best practices that result in clear value to our clients and significant profitable growth. While it's early days, we're seeing strong ownership and buy-in from our global sales force, who are now fully integrated in the lines of business. And we believe this positions us well to get back on a solid growth path; more in the coming quarters on specific progress. Turning to slide 18, as I mentioned last quarter, further strengthening project delivery is a top priority at Jacobs. Our new project delivery center of excellence is off and running and playing a more prominent role in the successful management and delivery of our projects. This is driving increased focus on accountability across the organization. We're also implementing a number of specific project delivery related initiatives to improve performance, including upgraded tools and better standardization across global offices. The initiatives will both strengthen our project performance and reduce our operating cost. Each line of business has appointed a project delivery leader, who is accountable to ensure adherence to best practices and procedures. These initiatives are designed to have both an immediate and a long-term impact. So turning to the last slide and to summarize, we continue to hold to our previous fiscal year 2016 guidance. While our first quarter results met expectations, we continue to believe that the first half will be impacted by the difficult market conditions. And as a result, we expect our underlying second quarter results versus a year ago to be similarly challenged, as was our first quarter result. The economic dynamics of commodity such as oil and mining will continue to impact our business. However, we remain cautiously optimistic on the second half of the year, as cost savings benefits ramp-up and our market strategies play out in certain businesses. We're already reaping benefits from the restructuring and newly established organization, and we expect it will yield additional improvements as we move through fiscal year 2016. We're seeing a clear energy building across Jacobs. With senior leadership solidified, our focus is now on winning business and successfully delivering projects for our customers. Our value proposition and focus on key client relationships, market and portfolio diversification, smart use of cash, and fostering great talent are all helping to get Jacobs back on track to grow profitably. To support our business, greater clarity on strategic growth is needed, and so we're underway with our strategic review. We believe the initiatives we have undertaken and those we continue to implement are aligned with shareholders' interests and will ensure we are well positioned to drive long-term profitable growth. So with that, I'd like to thank you for listening, and we'll now open it up for questions. Operator?
Operator: Our first question comes from Jamie Cook with Credit Suisse. Please go ahead.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi, good morning, I guess a couple questions. One, Kevin, just on the guidance, you've kept the guidance the same. You now have the tax benefit of $0.09. We've bumped up our restructuring savings, which you could argue adds maybe $0.15. I guess it depends on the timing. But I guess how do we think about that? Does that imply you expect the core business relative to where you were last quarter; the underlying fundamentals have declined $0.25? If so, which businesses are driving it? Is it the incremental awards you expected this year in Chemical that you don't get, or is it projects are being slowed? I'm just trying to figure out how I think about the puts and takes of the guidance. I guess that would be my first question. If I could also get another one in there.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: So, Jamie, sure. First response to the tax item, we did expect that we were going to see some tax benefits over the course of the year, timing of which is perhaps a little bit different. But we did expect that we would be able to see some benefits there. But I do think as we look to continue to drive costs out of the business, certainly the fact that we're able to deliver incremental costs does imply that certainly there is incremental potential pressure on certain of our businesses because of the continuing pressure on some of the commodity prices. So we think and believe that we are able to – be able to offset some of that with our incremental investments in terms of the ability to drive our reduction in SG&A.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): I guess in particular, I think last quarter you talked about – can you just talk about where you think backlog should be this year relative to what you said last quarter? And I also think last quarter you talked about some larger chemical projects hitting the back half of the year. Can you just provide an update on that? And then I'll get back in queue.
Steven J. Demetriou - Chairman & Chief Executive Officer: Sure. So look, let me first say, I think the quality of our backlog is strengthening, where the business that we're winning is higher-margin business as some low-margin backlog gets worked off. So I think generally, as we're analyzing our backlog, we're pleased with that. We did refer to a major chemicals prospect and we did announce that with the BASF project recently, and so we're going see the benefits of that now start to hit as we start earning some of that benefit. And we do have some really interesting prospects that we hope to lay out here over the next several quarters that contribute to the backlog. I mentioned the $250 million Aerospace & Technology wins that we have not put in the backlog because we want to finish up the protest activity, but we're very confident that that will hit the books here in 2016. So we can't give any specifics on where the backlog is going other than we're pretty excited about our prospects. And as I mentioned, it's all hands on to start getting back to growth.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay, and then sorry, just one more question, just in terms of guidance. I know you said a stronger second half versus first half. But, Kevin, do you see the first quarter as the bottom? I guess your fourth quarter your gross margins were lower. But as we think about 2016, do you expect I would assume sequential margin improvement on the gross margin line in the second quarter?
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: I think there is a mix dynamic going on, and we don't provide all that specific in terms of guidance relative to that particular issue, Jamie. But we do think that there is in our backlog, as Steve mentioned, there's some good margin going forward. And I do believe, if we think about the balance of the year, specifically second half, we hope to see that burning. But ultimately, we're going to have to be very diligent on the cost side, on the cost management side, because we are in a period of where there are some pressures on certain of our end markets.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay, great. I'll get back in queue. Thank you.
Operator: The next question comes from Andrew Kaplowitz with Citigroup. Please go ahead.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Good morning, guys.
Steven J. Demetriou - Chairman & Chief Executive Officer: Good morning.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Good morning.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Good morning. So, Steve, last quarter you had these relatively significant write-offs in your business, which did impact your gross margin. And this quarter, gross margin did improve sequentially. You talked about this a little bit to Jamie's question. But how do we think about the tradeoff between price pressure and the current environment on gross margin and your ability to improve gross margin through better execution? Can they balance each other? Can you see relatively stable to improving gross margins throughout the year as the pressure from these previous write-offs die off?
Steven J. Demetriou - Chairman & Chief Executive Officer: Yes. I think you're focusing in on something that we're spending a lot of time at Jacobs, is to make sure we're doing a much better job of measuring what we call our underlying margin. So trying to look past some old write-offs that hit the books and really look at what's happening to underlying pricing and how we're improving the mix to drive margin improvement. And there are a lot of moving parts to that, and mix is a big piece of what happens at Jacobs because of our diverse portfolio. But all in all, when we start to really analyze, and we'll have more information that we can share starting in the second quarter when we report line of business results, we're pretty pleased with how margins are holding up. We're maximizing our high-value execution center in India, and a lot of our customers are locking in on that. So we can have a win-win with our customers on sharing the benefit of work share between multiple offices, including India. If I look at Aerospace & Technology, for example, a lot of the new business that they're winning is higher-margin long-term business, and it's replacing lower-margin business that's falling off the books. And I'd say, all in all, every business line is doing an excellent job on managing margin. And I'd say they were fairly flat to modestly up in most cases in the first quarter.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay, that's helpful. And then, Steve, you were pretty excited at the Analyst Day in talking about the life sciences and pharma marketing. You still are. But when we look at the Industrial backlog, sequentially it is down a little bit, even with this Biogen award. So how do we think about the Industrial business in particular and the positive impact from the life sciences and pharma market over the next year? Is that enough to offset mining and other weak industrial markets to grow that particular backlog as we go over the next year?
Steven J. Demetriou - Chairman & Chief Executive Officer: I think clearly if you look at the last four or five quarters, most of the major movement downward in the backlog clearly was driven by our Mining & Minerals business line. And we think that's now stabilizing at the bottom and don't view that we're going to see a material change now driven by Mining & Minerals because it's come down so much. And in fact, as I mentioned in my remarks, of the few major projects that are out there, we're actually expecting to win the majority of those. And so that will start positively impacting our Industrial group's backlog. And as you mentioned, we're excited about the life sciences. That's clearly been an offset to what I just talked about, to be able to hold up the Industrial backlog where it is. And so I believe as we start looking forward in Industrial, we're going to see at some point a positive turn in the backlog.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Just to press you a little bit, do you think it's relatively soon, Steve, or is it at some point meaning you still have to absorb a little bit more mining and it's more like the year 2017 for a turn in Industrial?
Steven J. Demetriou - Chairman & Chief Executive Officer: Again, I'm not going to be much more specific than that, but I would say my remarks are relatively near term.
Andrew Kaplowitz - Citigroup Global Markets, Inc. (Broker): Okay, thank you.
Operator: The next question comes from Jerry Revich with Goldman Sachs. Please go ahead.
Jerry Revich - Goldman Sachs & Co.: Hi. Good morning, everyone.
Steven J. Demetriou - Chairman & Chief Executive Officer: Good morning, Jerry.
Jerry Revich - Goldman Sachs & Co.: I'm wondering if we could start with two questions around the infrastructure business. In the U.S. it sounds like you're seeing a nice pickup in activity. I'm wondering if you could quantify for us in terms of number of bids or just provide some context that looks like we're seeing an acceleration at the state level. I would love to hear some direct color from you. And then separately on the Middle East infrastructure business, can you just talk about what's the risk of project deferrals based on the moves in the commodity deck recently?
Steven J. Demetriou - Chairman & Chief Executive Officer: Right, our business in the U.S. is both buildings and infrastructure. Clearly, we're seeing positive momentum on the infrastructure side, some specific initiatives being driven by the fact that the federal spending outlook is more positive than say it was a year ago. And with the recent budget approval, we're seeing more certainty, especially at the state/regional level around our infrastructure side. Some of it is very regional. We're seeing strong demand in Texas, the West Coast, Florida, for example, on the infrastructure side. When we look at the whole market, mission-critical is something we're pretty excited about and strong and believe we have excellent growth. And part of it though is the timing. We were impacted in the first quarter in mission-critical, and it was just simply our customers making some decisions on timing that were different than our expectations, but we expect to play it out as the year unfolds. So we're pretty diverse in Building & Infrastructure, as I outlined, and so there's lots of activity. This is clearly a business that is a lot of small wins that add up to what we believe is something that could be very positive as we unfold our strategy. The infrastructure comment around the Middle East I would say is net positive. Yes, there's a concern that in the Middle East as oil prices have dropped that there could be some delays in infrastructure spending. But we're starting from such a small level that generally we see that as a positive over the near term in the Middle East.
Jerry Revich - Goldman Sachs & Co.: And sorry, that last comment, was that from small levels from Jacobs' standpoint or from broader infrastructure investment in the Middle East?
Steven J. Demetriou - Chairman & Chief Executive Officer: I would say both, but clearly from a Jacobs standpoint we see a very large opportunity in the Middle East. And even as maybe some of the activities get delayed, we believe that we're going to have growth in Infrastructure over the near term in the Middle East.
Jerry Revich - Goldman Sachs & Co.: Okay. And lastly in your downstream business, you had a nice pickup over the past two quarters now. Can you just flesh out for us what type of activity is gaining traction? We're seeing pretty challenged CapEx budgets for refiners overall, and it sounds like you're either gaining share or maybe have higher OpEx exposure. Can you just flesh that out for us?
Steven J. Demetriou - Chairman & Chief Executive Officer: Yes, as I mentioned first of all, a very strong piece of our global Petroleum & Chemicals business is sustaining capital and maintenance. And the team has done an excellent job on really focusing in on that starting several quarters ago, and we're getting a lot of wins. And one thing that's happening on both the oil and gas and mining side is that there is still pretty strong production, even on the mining side, as prices have collapsed, there's a lot of production. And so we're seeing a lot of sustaining capital in maintenance and safety, environmental across the globe. And we are one of the major players in that sector, and it is a big piece of our business. And so that's enabling us to hold up in a very difficult environment. Specifically refining, we're doing a great job on the independent refiners who are benefiting from the lower crude oil and are spending at maybe a higher rate as compared to the integrated players, and we've got some good wins in that sector. And I think our new focus with the line of business in Petroleum & Chemicals is demonstrating some early success in that arena. And on the Chemicals side, as a lot of these ethylene initiatives and cracker initiatives are going up, there's going to be a lot of byproduct activity in specialty chemicals and derivatives, ethylene oxide, ethylene glycol, et cetera. And that's in our sweet spot, and we're pretty positive about what's going to unfold there as it relates to Chemicals. So the downstream has been a good offset for us in a very difficult upstream environment.
Jerry Revich - Goldman Sachs & Co.: Thank you.
Operator: The next question comes from Steven Fisher with UBS. Please go ahead.
Steven Michael Fisher - UBS Securities LLC: Thanks, good morning. One of the things that we've learned over the last few cycles is that E&C companies experienced market dynamics with a lag. So how comfortable are you guys – that what we've seen recently with commodity prices with what we're seeing in the customer CapEx announcement that's really properly reflected in what that lag effect could be on your fundamentals over the next few quarters, or is this more that there could be a more challenging dynamic in 2017 left to come as well?
Steven J. Demetriou - Chairman & Chief Executive Officer: Again, I'm going to be repetitive here. But when I look at the backlog and analyze it, the big hard hit areas, major spending in the mining and upstream oil and gas for the most part has played out in our backlog because in today's backlog, there's very little represented there in those two hard hit sectors other than our sustaining capital and maintenance position, which we think we could even grow in a difficult environment because that's where those sectors are spending. And then you add on top of that that in the past we were somewhat over-dependent on key large players in those sectors. In the past year or so, there's been a big push to diversify and spread our wings across that industry. And so we are gaining a lot of new customers that we haven't had in the past. And as I mentioned, with the downstream focus and the size that we participate in maybe as compared to some of our competitors where we tend to be in more of the smaller mid-size range and not overly dependent on cancellations or deferrals of big large projects, we feel like, although visibility is not very clear because of the uncertainty of what's going to happen in the industry that based on the recent activity, at least we haven't seen signs that we're missing something from a lag effect or a lot of the recent announcements, but we'll see.
Steven Michael Fisher - UBS Securities LLC: Okay.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Sorry, I would just add an additional comment. We continue – in backlog we're not seeing really any fundamental material cancellations that are occurring. We did have some of those early last year. So to Steve's point, we think that's largely played out. And then I think the other part that's appropriate to talk to is again the diversity of the rest of the portfolio, which is going to be we believe an opportunity for us, which will help offset some of the pressure points that you're highlighting in your question.
Steven Michael Fisher - UBS Securities LLC: Okay, that's helpful. Just to come back to pricing a little bit, how quickly are you finding that it's changing from your customer perspective in the requests to you? And to what extent is it mostly just pronounced in the private sector, or is it public sector as well? And to what extent are you seeing increasing pricing pressure in the public sector as well? And I know you mentioned there are protests on contracts, but how about pricing pressure there?
Steven J. Demetriou - Chairman & Chief Executive Officer: Look, pricing pressure is happening everywhere. And it's not surprising, the world's getting smarter, there's more attention across all businesses. But as I mentioned earlier, we're mitigating that with several things. One is a real good focus of understanding where we're differentiated, where we can make money, and shedding some low-value businesses and therefore getting an upgraded mix in our sales activity. And it really is starting to play out as we analyze each and every one of the four lines of businesses. And I as mentioned before, the Aerospace & Technology, which is probably our most differentiated business, yes, there's a lot of protest, but a lot of that is just the nature of the way relationships have changed in that industry over the last several years. And we believe that our reputation, our differentiated offering, our capability, experience that we're actually going to be able to see general improvement in margins there and in growth. Clearly, in places like Petroleum & Chemicals, that's where there is the highest level of challenge on pricing, as you would expect. But I think the combination of our cost improvements, including our variable costs, and then the work that we're doing with our customers to look at ways to drive down cost, including the India work share, as I mentioned, all in all is helping our mix and margins, and we're pretty pleased with the way that margins have held up in that business.
Steven Michael Fisher - UBS Securities LLC: Okay. Thanks, guys.
Operator: The next question comes from Andy Wittmann with Robert W. Baird & Company. Please go ahead.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Hi, thanks for taking my questions. Kevin, sorry if I missed this in your prepared remarks. But I just want to maybe get a clearer update on where we are on the restructuring actions that are in place. Can you give us at the end of the quarter what portion of the costs have been incurred of the estimated, the new estimate of $250 million? Where were we at the end of the first quarter? As well as the savings, where do we exit the quarter on the run rate versus the $180 million to $200 million as the new range?
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: We didn't provide ultimately the specificity to that level of detail, but let me give you a couple points. Through the first quarter, we had spent about $150 million. Last year I believe was the figure, so if you add our current quarter spend, we're in the neighborhood of $220 million plus or minus. We had probably been able to get into our results last year roughly 25% of the expected savings, and you can see the SG&A figures for Q1 were obviously quite good versus year ago, so you can see that that's continuing to build. We are taking actions in Q2, further actions. So the run rate ultimately that we will realize of the number that we're talking about in terms of the savings right now will not fully be seen in 2016 because some of that's going to be done, let's call it midyear by the end of Q2. So we'll still have some incremental benefit that occurs in 2017. But basically by the end of Q2, we'll be pretty close and getting pretty close to the run rate as it relates to our quarters going forward.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Got you. As you went through the plan and I guess maybe a little bit more detail on the opportunities that led to the increase? And it sounds like, Steve, from some of your comments that there might even be more as you roll up your sleeves and look at the business. Maybe some of the buckets or some of the opportunities that surfaced I think would be helpful.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: I think it's much more of the same kind of ideas, with the incremental focus is that we are getting relative to the lines of businesses, they're able to start to focus at a more detailed level across a greater expanse of our business to identify potential additional focus areas and cost reductions in both labor and real estate. And so those opportunities are developing as we speak. And I think there are going to be additional actions, I should say, that will allow us ultimately to realize a little bit better than what the numbers that we ultimately have right now look like.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Thank you. And my final question...
Steven J. Demetriou - Chairman & Chief Executive Officer: I guess I'd just want to add to that. I just want to say yes, you heard it correctly that opportunities continue to come in and be assessed for further efficiency and cost opportunities, and I think that's a high expectation around all of Jacobs that there's more to come.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Great. On Sellafield, this was a major contract obviously that's well known to investors that now has come your way. At least it was a major contract previously. Any boundaries you could give us on the timing of this, the overall size that you see this being in backlog? As we understand it, there are three main groups that are now divvy-ing up the Sellafield pie. It looks like you guys are involved with two of the three. Can you give us some context as to what this could mean in terms of your earnings and your bookings?
Steven J. Demetriou - Chairman & Chief Executive Officer: I can just give you some general data that would help you, and then see what you can figure out on your own. But it's approximately 600 people involved at Jacobs for that. We're supporting the entire lifecycle of studies, design, construction management, operations, maintenance of the projects there. We're going to be supporting the decommissioning. And so these are framework contracts with periods of up to 10 years, and so it's going to be something that's going to help us for the long term, and it's a pretty important part of our whole nuclear strategy there.
Andrew John Wittmann - Robert W. Baird & Co., Inc. (Broker): Okay, thank you.
Operator: Our next question comes from Jeff Volshteyn with JPMorgan. Please go ahead.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Good morning and thank you for taking my question. I wanted to ask on budget commentary on the line-of-business repositioning. Is that fully completed now? What are some of the positive and negative lessons learned as far as human resource needs and leadership in the key positions?
Steven J. Demetriou - Chairman & Chief Executive Officer: So the line-of-business reorganization has been implemented. And so we're off and running now, managing under these four lines of businesses. And it's going extremely well, a lot of excitement coming out, especially as now for the first time, we have these four business presidents able to have a clearer picture of how these sectors roll up globally and the opportunities to drive efficiency and cross-office market strategies among several other things that we believe are going to lead to improved profits and growth over the long term. And so I would say generally it's been impressive on the speed and execution. Everybody is locked in on it, and I think it's going to help us clarify our strategy now over the next several months as we undergo strategic review on each of the lines of businesses. And each of them are dissecting their portfolio and seeing some very interesting things that hopefully we can impact in the short term. So I would say, without trying to overly hype it, it's hard for me to think of any negative lessons learned in that generally everybody is building momentum. And the main reason that it's moving so quickly and building momentum is, as I came into the company, as I mentioned before, this isn't something that I decided that from my past was the right way to run the company. It was just an overwhelming set of inputs to us that we need to move in this direction, that we have tremendous opportunity if we can focus and better integrate and hold accountable global lines of businesses. And so I think that's the main reason why I'm pretty positive about the way it's unfolding.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: That's helpful, just a few follow-up questions. Geographically, the restructuring efforts, are they changing your geographical presence in a material way?
Steven J. Demetriou - Chairman & Chief Executive Officer: No, no, not at all. If anything, clearly, if you look at each and every one of the lines of businesses, geographic expansion will most likely be part of the strategy because we're very strong in certain geographies, but have left maybe potentially on the table some interesting opportunities in the past that we now just need to seriously consider. And we'll be selective and make sure we can win, and it needs to be profitably growth driven, not just growth. So more to come on that.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: And just a clarification on one of the questions that was asked earlier about the 2016 guidance. The $0.09 tax benefit that is now included, was it included previously when you reported last quarter, or is this a new addition to guidance?
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: We did have some estimates relative to tax benefits assumed in the full year.
Jeffrey Y. Volshteyn - JPMorgan Securities LLC: Okay, thank you.
Operator: The next question comes from Michael Dudas with Sterne Agee. Please go ahead.
Michael S. Dudas - Sterne Agee CRT: Good morning, Kevin and Steve.
Steven J. Demetriou - Chairman & Chief Executive Officer: Good morning.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Good morning.
Michael S. Dudas - Sterne Agee CRT: Steve, since Analyst Day here in New York, equity and bond markets have become more fearful. Economic activity and the data seem to be coming in worse than anticipated. As you look through your business and maybe some of the history you've had in your career, is the market too overly pessimistic, about right, maybe not as pessimistic enough about what you see in business conditions, not only just U.S., but in some of your major end markets globally?
Steven J. Demetriou - Chairman & Chief Executive Officer: Let me just frame the answer around how we're responding to that uncertainty, because we don't know, and we're not experts on being able to predict the oil markets or what's going to happen to copper prices or iron ore. But again, what excites me is as we have everyone now focused, more transparency, more rigor, more accountability, as big as we are and as diverse as we are, there's a huge opportunity of growth just based on, in many of the cases we're starting with small shares, and yet we're very strong in where we have those small share of businesses. And so even in this difficult environment, it feels like there's good opportunity out there. But clearly pressures that we have to manage through and a changeover in our backlog, for example, that is working off some old business as we get out there and execute the type of things that I'm talking about. And so, I think it's uncertain. We're not banking on oil prices going up or mining prices going up. When they do, we're going to be positioned extremely well because of our more efficient and even more efficient cost structure in the future. And so we're excited about when that happens, we'll be positioned well. But as we talk now in the near term, it's all about going after opportunities that are in front of us, and it feels like those opportunities should also allow us to see some modest growth as we execute them over the near term.
Michael S. Dudas - Sterne Agee CRT: It seems like you have an increasing confidence that Jacobs as an organization has a better chance to win more business, even though the opportunities and the projects and maybe overall activity may not be as robust as it was, say, six to 12 months ago, given the restructuring and where you're targeting your manpower.
Steven J. Demetriou - Chairman & Chief Executive Officer: Yes, I think you said it well.
Michael S. Dudas - Sterne Agee CRT: Excellent. Thanks, Steve.
Operator: Our next question comes from Tahira Afzal with KeyBanc. Please go ahead.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thank you very much. Steve, have you seen any irrational bidders jumping into the space, some of your more challenged space? And if they have or you expect them to, what is the customers' approach to that given it's been mixed for them in the past?
Steven J. Demetriou - Chairman & Chief Executive Officer: Unfortunately, in my entire career, I've always faced some irrational competitors. But just putting that comment aside, again, in our business where we have longstanding relationships and have a very strong reputation on our various capabilities, it's all about execution. It's all about being more efficient. It's making sure that we're raising accountability and expectations, making sure we're upgrading the talent and all those things we're doing. And it all started even before I arrived, and we're accelerating it with the new lines of business. I'm not sitting here today worried about irrational competitive behavior. I'm more excited about that there are a lot of things in our control to improve this company, both top line and structure. So that's what we're focused on, and so it's not the top of mind with regard to what you're concerned about.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, okay. And, Kevin, can you comment a bit about how we should be thinking about free cash flow? You're going to be seeing more savings coming through your restructuring plans, but at the same time, a little more cost. Any kind of guidance qualitatively even would be helpful. And then perhaps you both can maybe comment on capital allocation, any incremental update? Your slides are the same, but any change to that post the Investor Day you guys posted?
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Perhaps some, let me make some high-level comments on the question. First thing is we do expect our cash flow to improve over the balance of the year versus first quarter. And the first quarter typically it's not always the case because, depending upon what the end balance sheet data is, there can be fluctuations by quarter. But generally speaking, Q1 tends to be one of our softer cash flow quarters. And so I fundamentally do believe there will be improvements over the balance of the year. I did make the comment in the prepared remarks that we expect to start to generate some improvements in our working capital efforts, and we do believe that will translate into improvements in cash flow over the balance of the year. So I think that that's the focus area for us on the balance of 2016. And clearly if we make progress there, we fundamentally believe those are sustainable going forward, which translates into our ability to be able to improve cash flows longer term. I don't know that I want to get into much more detail than that. But I do feel the team is focused. The lines of businesses are actually accelerating and supporting incremental focus against the effort. And so I do believe that we're going able to see some progress there.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. And capital allocation, I know you reiterated everything in your slides. Any update there in terms of buyback, et cetera? Your stock has clearly reacted to oil prices, yet it seems that the initiatives you're taking, your non-energy markets are performing well. Does that make you perhaps a little more aggressive in your buyback?
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Our discussions with the board is that we would have a measured approach to our share buyback at this particular point in time. That's unchanged. The capital allocation, as we've suggested in previous discussions, is that we will look to finalize our strategy. That work is ongoing, as Steve outlined, and that will ultimately provide some additional clarity as it relates to what the growth opportunities look like and what the cash needs associated with those might look like and consequently what any potential revised capital allocation strategy might look like. So more to come on that, and I think it's ultimately got to be intimately tied to how we'll expect it and finalizing our growth objectives longer term.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thanks, folks.
Operator: The last question comes from John Rogers with D.A. Davidson. Please go ahead.
John Bergstrom Rogers - D. A. Davidson & Co.: Hi, good morning. Thanks for taking my question, just a couple of follow-ups. Steve, based on your comments, it sounds like you've got some confidence, especially with some of the chemical and government projects, that you can grow backlog by the end of this year.
Steven J. Demetriou - Chairman & Chief Executive Officer: Look, I'm confident that we can get back on the growth track. I don't want to give any specific guidance on backlog or timing other than I do expect to see the backlog reverse at some point in the near term, and it's just based on what I've talked about before that most of the hard hit areas, specifically upstream and mining, represent a small portion of our backlog. And I'm pretty excited about some of the prospects that we have in some of the better growth dynamic businesses. And so hopefully that's going allow us to see a trend positively in our backlog at some point.
John Bergstrom Rogers - D. A. Davidson & Co.: Okay. And just to be clear, I think, Kevin, you said that you've seen some cancellations in early FY 2015, but you haven't seen any recently or significant ones recently. Is that fair? Just give me...
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Yes, there are always pluses and minuses in every quarter.
John Bergstrom Rogers - D. A. Davidson & Co.: Yes.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: But the ones that we talked about and actually highlighted were at the beginning of 2015, and we really haven't seen material changes at this particular point in time since the perhaps first and second quarter of last year, as I recall. It could be off a quarter there.
John Bergstrom Rogers - D. A. Davidson & Co.: Sure.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: But certainly, we haven't seen those dynamics. And again, to the point that Steve was alluding to earlier in our comments, we think we've settled as it relates to some of those dynamics, and hopefully there will be upside going forward at some point in time.
John Bergstrom Rogers - D. A. Davidson & Co.: Okay, and then just one quick follow-up. Kevin, the $20 million to $30 million left in restructuring cost that you mentioned, are those largely going to be absorbed in this current quarter, or are they spread through the rest of the year?
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: There could be some leakage that will go beyond because of items that, as I've always said, there will be some areas that because of certain efforts in terms of employees and notification and whatnot, some of the processes that are entailed relative to that, which could leak and/or a real estate play. There could be some beyond, but I think the bulk of them will be executed through the end of Q2.
John Bergstrom Rogers - D. A. Davidson & Co.: Okay, great. Thank you very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Steve Demetriou, President & CEO, for any closing remarks.
Steven J. Demetriou - Chairman & Chief Executive Officer: Thank you all for calling in, and look forward to talking to you again next quarter. Thank you.
Kevin C. Berryman - Chief Financial Officer & Executive Vice President: Thank you, all.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.